Operator: Good morning, and welcome to the OFS Capital Corporation Fourth Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steve Altebrando, Vice President of Capital Markets. Please go ahead.
Steve Altebrando: Good morning, everyone and thank you for joining us. Also on the call today are Bilal Rashid, our Chairman and Chief Executive Officer; and Jeff Cerny the company's Chief Financial Officer and Treasurer. Before we begin, please note that the statements made on this call and webcast may constitute forward-looking statements as defined under applicable securities laws. Such statements reflect various assumptions, expectations and opinions by OFS Capital management concerning anticipated results, are not guarantees of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from such statements. The uncertainties and other factors are in some way beyond management's control, including the risk factors described from time to time in our filings with the SEC. Although we believe these assumptions are reasonable any of those assumptions could prove inaccurate, and as a result the forward-looking statements based on those assumptions also could be incorrect. You should not place undue reliance on these forward-looking statements. OFS Capital undertakes no duty to update any forward-looking statements made herein and all forward-looking statements speak only as of the date of this call. With that, I'll turn the call over to Chairman and Chief Executive Officer, Bilal Rashid.
Bilal Rashid: Thank you, Steve. Earlier this morning, we announced our fourth quarter results. Our net investment income in the fourth quarter was $0.35 per share, which was below our net investment income of $0.4 per share in the third quarter. As you may recall in the third quarter we had some non-recurring investment income which was the primary driver of the drop in net investment income and the fourth quarter. Even so our net investment income remains above our distribution of $0.34 per share. We believe the overall performance of the companies in our portfolio remained solid. We had no new non-accruals this quarter and we placed one investment back on accrual status. Additionally, we believe that we benefited from our balance sheet positioning, but the majority of our debt being fixed rate and the vast majority of our loan portfolio being floating rate. Our net asset value declined in the fourth quarter to $12.9 per share from $12.74 per share at September 30, primarily due to unrealized depreciation and a couple of positions. Looking ahead to 2024. We continue to believe our portfolio is well-positioned for the current macroeconomic environment. As part of our long-standing investment discipline we have historically avoided investing in highly cyclical industries. We believe that our well-diversified portfolio is defensively positioned with our largest sector exposures in manufacturing, healthcare, business services and technology. 100% of our loan portfolio at fair value is senior secured. We believe that being at the top of the capital structure will continue to benefit us in this economic environment. In terms of new originations, we expect to see an increase in M&A activity later in the year, as we get more clarity on interest rates. In the meantime, we remain active in supporting our existing portfolio companies. Our financing continues to benefit our company. At the end of the fourth quarter, approximately 89% of our outstanding debt matures in 2026 or later and 60% of our outstanding debt is unsecured and non-recourse $150 million senior loan facility with BNP Pariba matures in June 2027. Our corporate line of credit is flexible with no mark-to-market provisions. As we have discussed before, we locked in $180 million of fixed rate unsecured debt in 2021 and that has a weighted average coupon of 4.8%, which is notably lower than current market pricing. Since the end of the fourth quarter, we retired our remaining $31.9 million of SBIC debt, which was due to mature in early 2025. Going into the new year, we anticipate that we will continue to benefit from the experience of our adviser, which manages approximately $4 billion across the loan and structured credit markets has expertise in multiple asset classes and industries and has a more than 25 year track record through multiple credit cycles. At this point, I'll turn the call over to Jeff Cerny, our Chief Financial Officer to give you more details and color for the quarter.
Jeff Cerny: Thanks, Bilal, good morning everyone. As Bilal mentioned, we posted net investment income of $0.35 per share for the fourth quarter, once again covering our $0.34 per share distribution declared during the quarter. Our current distribution rate represents an 11.6% annualized yield based on the price of our common stock at year end. We also announced that our quarterly distribution for the quarter remains at $0.34 per share. Our net asset value per share decreased by $0.65 to $12.9. As Bilal mentioned, this decline was primarily due to unrealized depreciation concentrated in a couple of positions. During the quarter, we had no new nonaccruals and one loan was placed back on accrual status following an amendment, which included an equity infusion from a private equity sponsor and an improvement in the loans fair value. This loan had a fair value of $4.2 million as of December 31. 2.9% of our total investments at fair value were on nonaccrual status at year end. Turning to the income statement. Total investment income was down by approximately 8% to $13.5 million. This was partly due to a 50 basis point decline in our investment income yield, largely related to nonrecurring investment income realized in the third quarter, as well as some prepayments in the fourth quarter. This resulted in a lower overall investment balance in the fourth quarter. We did not reinvest certain of the proceeds from repaid investments, as we were preparing to redeem our remaining $31.9 million of SBIC debentures, which were due to mature in early 2025. On March 1, we completed this redemption. Total expenses of $8.8 million were down approximately 5% during the period, primarily due to a decrease in interest expense related to a lower average outstanding debt balances during the quarter, as well as lower management incentive fees due to the declines in our investment portfolio and net investment income. As I mentioned, net investment income was $0.35 per share for the fourth quarter. Net investment income covered our $0.34 distribution for the fourth quarter and we believe that net investment income has benefited from our balance sheet positioning given that 92% of our loan portfolio at fair value is floating rate, while 70% of our outstanding debt is fixed rate. It is also worth noting that at quarter end 89% of our outstanding debt matures in 2026 or later and 60% of our outstanding debt was unsecured. Excluding the SBIC debt, our regulatory debt to equity ratio was approximately 1.67 times and our regulatory asset coverage ratio was 160%. Turning to our investments. The overall performance of our portfolio companies remains solid in this uncertain macroeconomic environment despite weaknesses in a few of our investments. We are committed to being senior in the capital structure and selective in our underwriting. We remain cautious with regard to new originations and continue to see slow M&A activity during the fourth quarter. As I mentioned, we saw some heavier prepayments in the fourth quarter and were sitting on a much larger cash position at year end than as typical as we prepare to retire the remaining $31.9 million in SBA debentures. We continue to support our portfolio companies as they identify add-on opportunities for growth and we also funded a few new middle market investments in the fourth quarter. As of December 31st, we had $13.8 million in commitments to fund investments under various credit facilities to our portfolio companies. The majority of our investments are in loans and 100% of our loan portfolio at fair value was senior secured as of December 31st. Based on amortized cost as of quarter end, our investment portfolio was comprised of approximately 69% senior secured loans, 1% subordinated debt, 24% structured finance securities, and 6% equity securities. At the end of the quarter, we had investments in 76 unique issuers, totaling approximately $420 million on a fair value basis. For the quarter ended December 31st, the weighted average performing investment income yield on the interest-bearing portion of the portfolio was down about 50 basis points to 14.1%. This includes all interest, prepayment fees, and amortization of deferred loan fees. The decline was largely due to certain non-recurring income in our structured finance investments that occurred in the third quarter as well as some prepayments in the fourth quarter. With that, I'll turn the call back over to Bilal.
Bilal Rashid: Thank you, Jeff. In closing, we believe our portfolio remains in good shape with no new non-accruals in the quarter and with one investment being placed back on accrual status. Our focus remains on capital preservation with 100% of our loan portfolio at fair value being senior secured and we remain confident in the overall quality and fundamentals of our portfolio. We have relied on our long-standing experience and investment discipline, which we believe has served us well. Since the beginning of 2011, the BDC has invested more than $1.9 billion with the cumulative net realized loss of just 2.5%, over the past 13 years, while generating attractive risk adjusted returns on our portfolio. We believe our businesses especially equipped to navigate this market successfully, due to the size, experience and reputation of our adviser. With a $4 billion corporate credit platform, affiliated with a more than $30 billion Asset Management Group, our adviser has broad expertise, including long-standing banking and capital markets relationships. Our Corporate Credit Platform has gone through multiple credit cycles over the past 25 plus years. Our adviser and affiliates are also strongly aligned with shareholders, as they maintain an approximately 23% ownership stake in the BDC. With that, operator, please open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Mitchel Penn with Oppenheimer. Please go ahead.
Mitchel Penn: Hi guys. A couple of quick questions, just housekeeping your – what percent of your loans are second lien?
Jeff Cerny: Hi. Good morning. Mitchel, this is Jeff.
Bilal Rashid: Good morning.
Mitchel Penn: Good morning.
Jeff Cerny: Yeah. Good morning. About 19% of our loan portfolio is second liens. And you'll notice we did start to break that out on our asset-light, but happy to address that, but just for your co-locating with.
Mitchel Penn: Okay. Great. Great. And on the affiliate pick income was there any was there a catch-up there for the quarter or because it was that the it doesn't appear to be that run rate going forward, but I'm curious, if there was some sort of adjustment.
Jeff Cerny: Yeah. There was a pickup of a loan as I mentioned -- mentioned the loan that we put back on accrual status. We had an equity infusion and recognized some previously reserved past -- past due interest in the form of tech.
Mitchel Penn: Got it. Got it. And one last question, on the audit opinion sort of talked about valuation. Do you guys I always thought --you guys employees like a third-party valuation service that periodically looks at the portfolio is that correct?
Jeff Cerny: So for all of our Level three investments we have we have them valued by a -- by a third-party all of them, all the Level three's every quarter.
Mitchel Penn: Got it.
Jeff Cerny: So its not…
Mitchel Penn: Got it. And anything else you guys have a value it is that at, where the market values it?
Jeff Cerny: That's right. If it's at level two.
Mitchel Penn: Got it. Okay. That's all for me. Thanks so much.
Jeff Cerny: Thank you.
Operator: This concludes our question-and-answer session. And the conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.